Operator: Ladies and gentlemen, thank you for standing by and welcome to the Mohawk Industries Fourth Quarter 2020 Conference Call. At this time, all participant lines are in a listen-only mode. After the speakers' presentation there will be a question-and-answer period. [Operator Instructions] Please be advised that today’s conference is being today, February 12, 2021. [Operator Instructions] I would now like to hand the conference over to Mr. Frank Boykin. Please go ahead sir.
Frank Boykin: Thank you, [Holly]. Good morning, everyone, and welcome to Mohawk Industries quarterly investor conference call. Today, we'll update you on the company's fourth quarter results. I'd like to remind everyone that our press release and statements that we make during this call may include forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995, which are subject to various risks and uncertainties, including, but not limited to, those set forth in our press release and our periodic filings with the Securities and Exchange Commission. This call may include discussion of non-GAAP numbers. For a reconciliation of any non-GAAP to GAAP amounts, please refer to our Form 8-K and press release in the Investors section of our website. Jim Brunk is joining Jeff, Chris, and me on today’s call. Jim has been our Corporate Controller since 2009 and was recently announced as my successor. He will officially assume responsibility as Mohawk’s CFO effective April 1 and will be providing our financial results on today’s call. I’ll now turn the call over to Jeff for his opening remarks. Jeff?
Jeff Lorberbaum: Thank you, Frank. First, I want to congratulate Jim on his new position. I worked with him for more than 10 years and look forward to Jim further enhancing our business strategies and results in his new role. We had a very strong first quarter and delivered record sales of $2.6 billion, an increase of 9% as reported with adjusted operating earnings and EPS of 305 million and $3.54. The business was stronger than we had anticipated with residential markets outperforming around the globe. Our free cash flow for the fourth quarter was about $248 million after capital investments of 160 million. For the year, we generated record cash flow of more than 1.3 billion. In the first half of last year, our industry was under enormous stress as the pandemic spread and we responded to this disruption by minimizing costs, lowering inventory levels, initiating restructuring actions, and reinforcing our liquidity.  In the second half, the residential flooring demand recovered significantly faster than expected as people spent more time at home. Meanwhile, commercial flooring demand remains depressed due to business investments being postponed or canceled. Our inventory levels decreased in the second and third period as sales strengthens and production was limited by capacity, workforce absenteeism, and labor shortages. SG&A investments and promotional activities were curtailed during the year to improve our margins. The pandemic created substantial differences between our segments that have varying restrictions, stimulus, consumer responses, and our ability to raise production levels. Our revenues and operating income rebounded and surpassed the prior year for both the fourth quarter and the second half. Our fourth quarter results exceeded our expectations as we posted our highest ever quarterly sales even with increasing COVID cases around the world. All of our markets are strengthening residential purchases with laminate, LVT and sheet vinyl outperforming other flooring categories. Our residential performance was partially offset by a weak commercial market in the regions where we have more significant business in that channel. Our results were improved by higher volumes, restructuring and greater leverage on costs, while being adversely affected by lower runs and inventory, absenteeism and labor shortages in some operations. We are also seeing greater inflationary pressures in many product categories, and we are increasing prices to recover. Our Flooring Rest of the World Segment continued to outperform with significant sales growth, higher operating leverage, and improved productivity.  The segment delivered further improvements in LVT production costs, which enhanced our performance in the period. Our Global Ceramic and Flooring North America segments also improved although both experienced a greater impact from commercial headwinds. Through the fourth quarter we have achieved about $50 million of the projected $100 million to $110 million in anticipated savings from our restructuring initiatives. We continue to assess some projects based on changing market conditions. After paying off our short-term debt and prefunding our longer-term maturities in the second quarter, our net debt leverage is at historical low. Our strong financial position gives us flexibility to pursue additional opportunities, including internal investments, acquisitions, and stock purchases.  Since the third quarter, we’ve acquired approximately 1 million shares of our stock for $130 million as part of our share repurchase plan. As the pandemic began, our organization has been protecting one another and supporting our customers around the world. We are mitigating the spread of COVID utilizing best practices while testing and tracking employees with potential contacts. I'll now turn the call over to Jim.
Jim Brunk: Thank you, Jeff. I would like to add that I’m both honored and excited about the opportunity to lead Mohawk’s very talented global finance team. Now let's review our financial performance for Q4 2020. Sales exceeded $2.6 billion for the quarter, a 9% increase as reported or 5.5% on a constant basis with our Flooring Rest of the World Segment outperforming. Q4 had two additional shipping days in most businesses and as you consider 2021’s financial projections, please remember to take into account the following items. Across most of our businesses, Q1 has three additional days or approximately 5% more, and Q4 has 4 fewer days or approximately 6% less, compared to prior year. This year’s sales should continue higher growth and full-year operating margins should improve. Our Q2 comps are very low and the second half comps are more difficult with the rebound that occurred last year. Also last year, in Q3 and Q4 there was less time off for holidays for our customers and us. Time off should be greater this year. Now coming back to the P&L. Gross margin was 27.9% as reported or 28.8% excluding charges increasing 120 basis points from 27.6% in the prior year. The year-over-year increase was driven primarily by higher volume of 51 million, productivity of 50 million, and lower inflation of $21 million, partially offset by price mix [up] [ph] $30 million. SG&A as reported was 17.2% or 17.3% versus 19.1% in the prior year, both excluding charges. The lower SG&A percent was driven by improved leverage on increased volume and stronger productivity of $21 million. Operating income as reported was 10.7%. Restructuring charges for the quarter were $22 million, and our restructuring initiatives are on track with year-to-date savings accounting for approximately $50 million of our announced $100 million to $110 million plan. Operating margin excluding charges $305 million or 11.6%, improving from 8.4% last year or 320 basis points. This increase was driven by productivity of 71 million, stronger volume of 42 million and reduced inflation of $12 million, partially offset by the previously noted unfavorable price mix of $30 million. Interest expense of $16 million, including the impact of our new 2020 bond offerings and we expect Q1 to be approximately $16 million to $16.5 million, other income of $7 million driven by favorable transactional FX and short-term investment returns. Our Q4 non-GAAP tax rate at 14.8% versus 18.9% in the prior year benefiting in-part from the U.S. CARES Act. We expect Q1 2021 to be approximately 21%. Earnings per share as reported of $3.49 or excluding charges of $3.54 growing 57% year-over-year. Now, turning to the segments. Global Ceramic had sales of $920 million, a 7% increase as reported with the business up 6% on a constant basis, with growth across all geographies, the largest increase being in Brazil and Russia. Operating income, excluding charges of $88 million and 9.5% return that's up 65% or 330 basis points versus prior year. The increase was from productivity of 28 million, volume of 16 million, and lower shutdown expense of $4 million, partially offset by unfavorable price mix of $12 million and unfavorable FX of $4 million. Flooring North America sales of 963 million or 3% increase as reported or flat on a constant basis led by strength in our residential focus products offset by the weakness in the commercial channel. Operating income excluding charges of $91 million are 9.5%. That's an increase of 27% or 180 basis points, compared to prior year. This increase was driven by higher productivity of 26 million, lower inflation of 7 million, and increased volume of $3 million, partially offset by price mix of $18 million. And Flooring Rest of the World with sales of $759 million, a 20% increase as reported, or 13% on a constant basis, driven by our resilient, laminate, and panels businesses in Europe and our carpet business in Australia and New Zealand. Operating income excluding charges of $138 million or 18.2% of 420 basis points or 57% versus prior year.  The main drivers were the higher volume of 23 million, improved productivity of 16 million, and lower inflation of $8 million, partially offset by unfavorable FX of approximately $4 million. Corporate and eliminations came in at $12 million and you would expect 2021 to be approximately $40 million. Turning to the balance sheet, cash and short-term investments increased over $1.3 billion, driven by the Q4 free cash flow of $248 million bringing the full-year 2020 full-year free cash flow to approximately $1.3 billion. Receivables were just over $1.7 billion, with DSO improving to 59 days versus the prior year 62 days. Inventories just over $1.9 billion dropped almost $400 million or 16% from prior year, with a marginal sequential increase of approximately $30 million adjusting for FX from Q3. Inventory days are a 103 days versus a 134 days in the prior year. Property, plant and equipment just under $4.6 billion with CapEx of $116 million for the quarter in-line with our D&A. And full-year CapEx was $426 million with D&A of just over $600 million. We estimate that 2021 annual CapEx to be in-line with our D&A of approximately $590 million. And lastly, the balance sheet and cash flow remain very strong with gross debt of just over $2.7 billion, total cash and short-term investments as previously noted over $1.3 billion leading us to a leverage of 1 times adjusted EBITDA. With that, I'll turn the call over to Chris who will provide details on our fourth quarter performance.
Chris Wellborn: Thank you, Jim. Sales for our Flooring Rest of the World segment increased 20% in the period as reported or 13% on a constant basis, significantly exceeding our forecast. Margins expanded over last year to 17.5% as reported or 18.2% excluding restructuring charges due to higher volume and positive leverage on SG&A and operations, partially offset by currency headwinds. Sales and margins were strong in most categories and geographies with most of our plants operating near capacity in the fourth quarter. Raw material costs began to rise in many of our product categories, and we're taking pricing actions to respond to the increases. Laminate, the segment's largest flooring category delivered significant growth in the period across most of our markets. Our margins increased as higher volumes drove greater absorption of manufacturing and SG&A costs while increased productivity and better throughput enhanced our results. We continue to focus on our premium collections that feature superior visuals and waterproof technology. Our service level showed improvement during the period, though they remained below our standards. To satisfy higher demand for existing products, we chose to postpone introductions of our next generation laminate collections in most markets. Our LVT sales increased substantially in the quarter led by accelerated growth of our rigid collections. Both our LVT margins and profitability improved, due to increased volume, lower production cost and SG&A absorption. We have increased staffing to operate all LVT lines seven days per week. We're introducing new collections with enhanced visuals and exclusive watertight joints that better prevent water damage. We're implementing price increases in our LVT collections to compensate for rising material costs. Our sheet vinyl business rebounded as our retailers reopened their shops and our export markets picked up. Our plants ran at high production levels that reduced our operating costs though unfavorable currency partially offset. All of our European cheap vinyl plants were running near capacity, and we've announced price increases. Our Greenfield Russian sheet vinyl plant’s volume has grown to a level that its margins are in-line with our other businesses. We have completed the consolidation of our wood operations in Malaysia. During the period our production was impacted by equipment, installation and transportation challenges due to COVID. The equipment from our closed European plant has now been installed and we're improving our throughput and wood sourcing strategies. Our wood panels performed well in the period with sales limited by our capacity and low inventories. Our productivity improved in the quarter, increasing our volume and throughput. Demand for our customized mezzanine floors is growing as greater e-commerce sales have increased the need for warehouse space. To cover rising material costs for our wood panels, we're also implementing price increases. Product mix continues to improve, due to a higher share of stylized products, due to sales investments to increase project specifications. We're expanding our capacity and melamine products to further improve our margins. In insulation, volume was good, though our margins were impacted by significant material inflation due to supply constraints. We have implemented a price increase and have announced another to keep pace with the rising cost. Demand for the category remains strong, enhanced by government incentives for energy savings. Sales in Australia, New Zealand were strong in the fourth quarter and margins improve with higher volume and lower material costs from our longer supply chain. We enhanced our market position with more aggressive sales initiatives and by providing more consistent service under difficult circumstances. We have leveraged our relationship with carpet retailers to expand sales of our hard surface products. Our results are benefiting from upgrades to our carpet and hard surface offering, manufacturing assets, and distribution capabilities that we've implemented since we acquired Godfrey Hirst. For the quarter, our Global Ceramics segment, sales rose 7% as reported, with improved results across the world led by growth in the residential channel from heightened remodeling and home sales. Operating margins for this segment expanded to 8.7% as reported, or 9.5%, excluding restructuring costs due to higher volume and improved productivity somewhat reduced by commercial product mix and currency. Our Brazilian and Mexican businesses delivered record quarterly sales and expanded margins even with inflationary headwinds. Manufacturing constraints and low inventories limited growth in most of our regions. Material, energy, and transportation costs are rising and we are increasing prices in most markets to offset these pressures. Our U.S. ceramic business delivered strong residential sales growth, while commercial remains challenged as businesses defer investments. Our service centers are experiencing improved customer traffic due to higher home sales and remodeling activity. The home center channel outperformed with increased demand and inventory replenishments. To provide additional features and benefits we are expanding our higher value collections with [high-gloss Polish tiles], antimicrobial treatments, and matching floor and wall combinations. We have announced price increases across most of our collections to pass through higher transportation costs. Our ceramic plant productivity and cost improved during the period due to higher volumes and continued process improvements. Our restructuring initiatives are progressing and we should complete our ceramic plant consolidations by the end of the first quarter. Our countertop business is increasing substantially with sales of our quartz products growing significantly. Our quartz countertop production cost and margins continued to improve our results and we are increasing our mix with higher value stylized products. Our Mexican ceramic business delivered its best quarterly sales and performance even with capacity constraints. Our margins improved with higher productivity, partially reduced by inflation and product mix. Our inventories declined and our backlog remained high as we ended the period. Our customers have opened 30 exclusive Daltile stores in the country, which will enhance our sales and strengthen our brand. To cover rising inflation we've announced price increases. Brazil also delivered record sales in the period with all channels performing well. Our margins improved due to increased volume and productivity, partially offset by inflation and product mix. Our Brazilian plants are operating at capacity and have been allocating production to customers. Our backlog remains high and we are increasing price to recover inflation. We're investing to further upgrade our manufacturing assets this year. For the quarter, our European ceramic sales and profitability were above last year. Some Southern European economies were more affected by COVID and have remained softer than other regions. Our residential sales were stronger with more competitive pricing and lower commercial sales, negatively impacting our product mix and margins. We are launching differentiated collections to improve our mix with small sizes, large porcelain slabs, outdoor products, and enhanced design technology. In the period, our service levels improved with the plants operating at higher rates, though inventories remain low due to higher demand. Our Russian ceramic business delivered strong results during the period even with inflation in currency headwinds. Sales rose significantly in all channels, led by new residential construction, which benefited from historically low interest rates. To meet higher demand, we ran more production by limiting holiday shutdowns. We are successfully ramping up our new premium sanitary ware manufacturing and will expand it further this year. The sanitary ware complements our Ceramic tile collections and will enhance our product offering in our owned and franchise stores. For the period, our Flooring North America sales increased 3% as reported, and our adjusted margins expanded 8.6% as reported, or 9.5% excluding restructuring costs. We had strong growth in the residential channel offset by lower commercial, which improved from its low base in prior periods.  Our service levels improved as we increased production in the period though high demand required allocating some products. Due to higher demand in COVID disruption in our plants, our inventories did not grow as we anticipated. To improve our margin and mix, we're launching many innovative products that address the needs of families spending more time at home. We're taking pricing action in most products due to rising material, labor and transportation costs. We have executed a large part of our restructuring initiatives, which is benefiting our results with some of the savings flowing through inventory in future periods. Some of our operations were inhibited by increased absenteeism and labor shortages due to COVID, and we anticipate higher production levels will improve our service and our inventory positions. Our residential carpet sales grew during the period as comfort and noise reduction have become more important to consumers. The demand for residential carpet is strong, and our sales momentum should be solid. We have taken many actions to improve our productivity, including rationalizing our product offering and reducing our operational complexities. Our restructuring actions have lowered our overhead and improved our cost and yields. Our new carpet collections will provide improved margins while offering superior styling, features, and value. We're introducing SmartStrand collections with a new patented Hypoallergenic backing, making installation faster and recycling easier. We're adding new pattern technologies and expanding our unique continuum polyester collections made from recycled bottles. We've announced price increases due to increasing inflation in materials, labor, and transportation. Our commercial business has improved from its bottom, but remains depressed along with the retail, hospitality office and aviation sectors. Our commercial hard surface sales are outperforming carpet and we have improved our online tools to make it easier for designers to select and customize our products. We're managing our cost structures, which have been deleveraged by lower volume and we have announced price increases across our product offering. Our laminate business is growing substantially in all channels as our unique visuals and waterproof technology have become desirable alternatives to both natural wood and LVT. Our plants are running at capacity to meet the exceptional demand and we're supplementing domestic production with laminate source from our worldwide operations. We've executed numerous process enhancements to increase our laminate and board production, and by the end of the year, a new line should be operational with additional capabilities. We announced a price increase on our laminate collections because of rising cost. We have repurposed a plant in Virginia to manufacturer a premium wood flooring collection that has been in development for four years. Applying our exclusive technologies, we created a truly waterproof wood flooring with dramatically improved scratch, dent, and wear resistant for today's active households. We've also updated our other wood collections to align with evolving market trends. Sales of both our LVT and cheap vinyl improved substantially during the period supported by strength in new housing starts and residential remodeling. We have multiple engineers from our European business working in our U.S. operations to implement demonstrated improvements to increased output, reduced material cost, and enhance product visuals and performance. We're introducing updated residential and commercial products with our new water-tight technology that will improve our mix and margins. As in other categories, we've announced price increases due to rising material and transportation cost. With that, I'll return the call to Jeff.
Jeff Lorberbaum: Thanks, Chris. Our fourth quarter sales and operating performance were much stronger than we anticipated. We ran our plants around the world at high levels during the period, but fell short of the inventory build we anticipated. Our operations are taking actions to optimize throughputs and reach our desired service level. Given present trends, the momentum of our residential business should remain strong while commercial should slowly improve from its trough. We will benefit from structural improvements in our costs and innovative new products that will enhance our mix. Most of the COVID restrictions around the world have not directly impacted the sales or installation of our products. Continued government subsidies and low interest rates should support economic recoveries, new home construction, and residential remodeling. We see increasing inflation in most of our product categories and are raising prices in response. Assuming current conditions continue, we anticipate our first quarter adjusted EPS to be between $2.69 and $2.79, excluding restructuring charges. The strength of our organization was demonstrated by our management of last year's historic decline in sales and the subsequent spike in demand, while protecting our employees and customers. Our strategies and initiatives remained flexible to adapt to changing economic conditions. With improving sales and cash flow and a strong balance sheet, we are well-positioned to take advantage of future opportunities. We’ll now be glad to take your questions.
Operator: [Operator Instructions] And our first question is going to come from the line of Susan Maklari with Goldman Sachs.
Susan Maklari: Thank you. Good morning, everyone and congratulations on a great quarter. And congratulations to Jim as well. My first question is, you know, I appreciate the color that you gave us around, you know, how the business is coming together, but can you help us think through 2021, you know, understanding that there's a lot of momentum as we come into the year, but how should we think about things as we get to the second half perhaps and the comparisons get a lot tougher, just any color on that cadence as we move through the next couple of quarters?
Jeff Lorberbaum: Let's see if we can give you some more color on that. The trends from the fourth quarter are continuing into the first quarter. Residential remain strong and commercial continues at depressed levels. As we go through the year, we anticipate the economy strengthening more and housing trends remaining positive. At this point, we see commercial coming off the trough, but we do not expect it to rebound to prior levels this year. Our commercial margins to remind you are higher than our residential and have a significant impact on our Flooring North America and Global Ceramic Segments. Our SG&A spending, we expect to stay in-line this year with the sales growth, and full-year margin should expand with improved costs and mix. Our production and productivity should be higher with less interruptions, absenteeism improving, and increased inventory, and cost saving initiatives. All the businesses that we have, have upside from last year, but it's not unlimited. And we do not have the normal inventory of a cushion to help us as we go through the year. A weaker dollar will also improve our foreign translated results and a tax rate should go back to normal at around 21%. If you look at the first quarter, it's going to be seasonally stronger than historical. And it's going to have 5% more days in it. As we said, we're raising prices 3% to 8% and sometimes even more, given the inflationary pressures that are going on. In the period, we're also still managing absenteeism that's at high rates in some places, as well as some supply disruptions in various markets and products. As we go into the second quarter, it has low comps, and you guys need to adjust the sales relative to the trend line rather than last year. And then last year, as we look at the third and fourth quarters, it rebounded significantly, which is making our comps more difficult than the second half. As COVID gets under control, we'll have to see how spending on remodeling of homes changes if at all. We and our customers during those second half periods or third and fourth quarter reduced the holiday time off. That positively impacted revenues, as well as margins for both periods. We anticipate more normal conditions in the second half of this year. Then when we get to the fourth quarter, again it has the 6% fewer days this year than last year. So, that's to try to help you with some of the quarterly trends.
Susan Maklari: Yeah. No, that's very helpful, Jeff. Thank you. And, you know, my next question is, you mentioned that you're putting 3% to 8% pricing through across a lot of the business. Can you help us think about the timing of that pricing benefit coming through and how that compares to when you'll start to see some of this inflationary pressure coming in?
Jeff Lorberbaum: We're trying to match them up. Some of the increases were announced, implemented at the end of the fourth quarter. They're going in all different times through the first quarter. And some could lag into the second quarter and the different channels and pieces. We’re trying to get them lined up. We think we're going to be reasonably successful. The raw material prices, most of the costs, you know, are increasing, and we don't know if we've seen the end of it, as well as the transportation changes is that – so we're going to have to stay flexible and keep adjusting with them as we go through. With all this, we expect the annual margins to increase and, you know, we're going to have to keep responding to it as it moves.
Susan Maklari: Right. Okay. All right. That's very helpful. Thanks for the color and good luck.
Jeff Lorberbaum: Thank you.
Operator: And our next question will come from the line of Mike Dahl with RBC Capital Markets.
Mike Dahl: Alright, thanks for taking my questions. And Jeff, that was really helpful color. I wanted to follow up on Susan's question around price, the price increases and more from kind of a net price mix standpoint, because clearly, you know, there have been periods of time where you've implemented price increases on a like-for-like basis in recent quarters, but then we're still seeing kind of net negative price mix in some of the segments you articulated part of that around commercial, but just wondering, as you think about this year, given the magnitude of price increases you're implementing, how should we think about kind of that overall net price mix bucket? Will it still be pressured more by mix or should we see it be more neutral this year?
Jeff Lorberbaum: I guess, going into the markets first with the increases, it helps that the markets are tighter than they are normally and the inventories are lower across the whole marketplaces. So that should help us implement them better. The price mix, we're hoping to improve the price mix as we change the product offering and improve it, as well as the market gets better. The remodeling part of the market is a stronger part and it’s typically higher value products. So the two conditions, we're hoping to get the price mix, not having the same detriments with all of that this year.
Frank Boykin: So overall, it should be positive. But again, you have to look at the impact on inflation as well.
Mike Dahl: Right. Okay. Got it. That's helpful. And then I guess, as a follow up, just around kind of the cost dynamics between the temporary production benefits of running longer than normal seasonally, I was hoping, you know, you could a, kind of quantify, if possible, how much some of that actually benefited second half of 2020 margins and whether or not you're saying margins you know, would then be down off those levels in the second half of 2021, which, which it sounds like could be the case? And then the second part, just on the cost side, is really, what do you see as most different this year, compared to call it 2018, when it proved to be much more difficult to offset some of the inflation that came your way.
Jim Brunk: Let me take the first part of that, and then let Jeff respond to the second half. So, I think you have to go back to the fourth quarter. As I said, you know, the price mix being a drag and about $30 million. But you had a strong, strong rebound on productivity of about $71 million for the quarter, in total. And part of that would be driven by obviously, our restructuring initiatives, that as you also point out, we are able to run our assets longer during the quarter, which is certainly going to help from an absorption and a margin standpoint.
Jeff Lorberbaum: I guess related to 2018 there's a lot of differences. We went in, and we made decisions to invest in a lot of startup pieces in 2017, and 2018, and 2017 and 2018 we had a lot of costs as those things were coming up. Some of them, most of those things are now operating well are reaching the profitability that we want. We mentioned several of them, the quartz countertop business, the plant in Russia, multiple other ones are all coming up. The LVT in Europe is in-line with our rest of our profitability. And we're expecting it to catch up this year with the engineers here executing as we speak, to change the problems in the United States. At the same time, we had some of our own internal and organizational problems. You know, we changed the management and organization of the Flooring North America business at the same time. And so those are all different this year. And then we're more aggressively trying to push prices through the marketplace and we think it's helpful that our competitors have – are tight, as well as having other limitations in their own business.
Mike Dahl: Okay. Thanks, Jeff. Thanks, Jim and congrats, Jim, on your promotion.
Jim Brunk: Thank you.
Operator: And our next question is going to come from the line of Justin Speer with Zelman & Associates.
Justin Speer: Good morning guys, thank you very much. A couple of questions for me, just in regards to the domestic non-residential revenue headwind that you mentioned in the fourth quarter, maybe, could you give us some context or magnitude of the decline there, and how that compares to the third quarter, and maybe what you're thinking for the first quarter in that channel?
Jim Brunk: The commercial business remains depressed in all the pieces. We have large pieces in service industries, like the hospitality industry, the retail and office sectors as well. And then we also have a big airline business. And so, all the sectors there are under pressure, and they haven't come out. You have the new construction part of the business, which people stop. So, there's going to be a void in between the new construction projects that are ending that's helped some of our businesses as they've kept flowing through. But the new ones, there's a void in between and we're having a hard time gauging how they're going to pick up and where they're going to come through.  And then just as one more part in our commercial business, in the category we’re the last thing to go in. So, everything else has to be done before ours comes in and we fill the pickup. So, we're having a difficult time seeing where it's going to come out. The two businesses that we have – the where we have the most the big parts of commercial are in our Flooring North America carpet business, our LVT business, our U.S. Ceramic business and our European Ceramic businesses are where the largest pieces are. The other businesses are much more heavier and residential, and don't have the same impact that they're having in those three.
Justin Speer: And I guess following up on that, I know there's a lot of questions on the cost basket, but maybe could you provide us some color or context in terms of how much your cost basket is up currently versus the prior year? And then if you are to snap the line on some of the commodities that are moving down and ultimately graduating into your P&L? What are you guys planning for in the second half in terms of the year-over-year, cost basket headwind that you're going to have to offset?
Jim Brunk: The costs are changing almost daily. We won't have the roll up till the end of the quarter was actually happening. The 3% to 8% is the result of the cost changes. And those cost changes, we may have to go up further, depending on how they go. We think we pass through what we see. There are some supply interruptions. They haven't become dramatic yet, but there are some where the supply constraints are limiting some of it and causing the cost to go up more, as we go through. I forgot the last part of your question.
Justin Speer: I was just trying to get some context for how much the cost basket, and when we look at the raw inputs and transportation costs that's what you're – I know, it's hard, it's a moving target right now, but if there's any line of sight to the year-over-year change in that costs basket, either for the year, or particularly in the back half of the year, in 2021?
Jim Brunk: We don't have any idea that the prices are moving so much. You have the oil prices that have gone up recently. We thought that we had a good hand on where they're going to go. We don't know whether oil is going to end up at $60 or at $45 to $50 to tell you the truth. Is it – and the same thing around the world and the different pieces. So, we're going to have to stay flexible and react to it because we don't know the answer.
Justin Speer: Understood. Well, thank you very much. Appreciate it.
Operator: And our next question is going to come from the line of Michael Rehaut with JP Morgan. Thanks.
Michael Rehaut: Thanks. Good morning, everyone. And, you know, Jim, congrats, again on the promotion. And Frank, I guess now twice, it's been great working with you.
Frank Boykin: Thank you, Mike.
Michael Rehaut: You know, looking at the margins in the back half of the year of 2020, you know, certainly, you know, fourth quarter benefited more than expected from, you know, the stronger sales and the less time off, as we look into the first quarter and the second quarter, you're certainly hoping for, you know, price increases to catch up to some of your commodity inflation. You're still looking for, you know, strong if not, you know, stronger year-over-year growth. You know, particularly against easier comps, and hopefully some of the manufacturing efficiencies are reduced, and maybe commercial even comes back a little bit, you know, we'll see, but, you know, certainly probably wouldn't get worse from here. So, are we to think that you can hold on to these types of, you know, low-double-digit consolidated operating margins? Are there some adjustments we need to make, based on, again either time off, certainly your plants should still be running at pretty high levels? So, just trying to understand, you know, if you look at that 11.5% consolidated margin, it seems like there's still a lot of tailwinds in front of you. If that margin can't be sustained, it’s not even built upon, in the front half of 2021.
Jeff Lorberbaum: I’ll start out with the margins for the full-year, we're expecting to be above last year and keep improving. When you get into the second half of the year, last year was really unusual because of COVID people took time off. So, when we got to the normal holiday season, like in Europe, we ran mostly straight through it. At the same time, our customers were still buying products and doing things. The question is going to be, how strong is the business this year? And what are people going to – how's it going to change the way people act? And to tell you the truth, we have a big question mark on our piece, we don't know. We're assuming that the third quarter will be more difficult with the cops because we're assuming we'll get back to closer vacation schedules and timing. The other part with the economy, the economy could expand enough where the business keeps going and is stronger. And actually is better than we think. We're having a hard time estimating what's going to happen between the economy growth and COVID stopping? And if you know…
Michael Rehaut: Yeah, I’m sorry Jeff, but I just want to make sure, you know, I don't mean to interrupt, but I'm really not as much focused on the back half, I agree with you. There's a lot of variables and there are some headwinds, but I'm more interested in the front half of 2021, if you think about those margins, versus the back half of 2020?
Jeff Lorberbaum: I'm not used to comparing the two. The fourth quarter trends are going to continue. The trends in the fourth quarter continue. The demand is still coming in strong. And, you know, commercial, we hope is going to slowly improve. So, we – if you look at the fourth quarter now, but you have to remember, first quarter is always different. We have more sampling and new products that go on. We have introducing of things. We have shows going on. We have costs that don't happen all across the world. And so the cost structure of the first quarter is different, as well as you know, the rest of businesses is why it typically, you know, the margins drop, and the sales are lower. The difference this time is that sales are stronger than the historical time. You also have, you know, the wintertime and the thing is, how it impacts shopping and not in different markets and places. So, you have to, it'll be stronger than normally historical. But you can't forget all the normal seasonal things that happen.
Jim Brunk: And then also in Q1, you know, comparability Q1, last year, or towards the end of February, we started to be impacted in Europe. And then at the end of March, we obviously were impacted in most of our businesses. So, the compatibility is difficult as well.
Frank Boykin: [Cost aside] I would say that we will see – we're still trying to get our inventories up to where they need to be. So, we will see production running at higher levels.
Michael Rehaut: Right. Okay, thank you. One last quick one. CapEx, I think you said that D&A in 2021 $590 million have any outlook for CapEx for the year and perhaps even in 2022 would be helpful?
Jim Brunk: 2021 the capital spending is targeted to be in-line with that D&A. So capital spending around that $590 million mark, we're focused on adding some capacity as we talked about in laminate, in Brazil, ceramic and looking at courts as well, making investments for new products. And there are many cost savings projects as well in that number. Also converting leases to owned assets as part of that.
Michael Rehaut: Thank you.
Operator: And our next question is going to come from the line of Matthew Bouley with Barclays.
Matthew Bouley: Good morning. Thanks for taking the questions and my congratulations to both Frank and Jim as well. I wanted to ask about the 100 million to 110 million of cost savings. You said you've achieved about 50 million so far. So, you also said some of the savings will flow through inventory in future periods. I just wanted to tie all that together, is that to suggest that's really the first half of 2021 where we see the incremental 50 million for the most part or the some of that still kind of phased in as incremental savings in the second half of the year? Thank you.
Jim Brunk : It's been clear that $50 million has been already in our P&L. So, that's the year to date benefit we saw in 2020 of the 100 million to 110 million. So the balance of that we believe will flow through 2021. Remember, we had previously noted that we should get $15 million to $25 million a quarter. So, that benefit should be somewhat front-loaded in 2021. Our costs and margins are reflecting the benefits of our actions. And again, we'll complete that as we go through the year.
Matthew Bouley: Got it. Okay, thanks for that. Jim. Second one, I guess on the same topic, you know, you talked a little bit about kind of rethinking some of the cost reductions. I don't want to put words into your mouth, but if any of the cost reductions actually been shelved in light of this recovery in demand or actually, is there even any opportunity to be more aggressive in certain places with rationalization, just you know, any assets that were more geared towards the commercial business, for example? Thank you.
Jeff Lorberbaum: If you remember in last quarter, we actually reduced it. Last quarter and announced we were reducing it. Other than that, we have a few projects where we're watching, but we haven't concluded fully. We'll have to see how the market goes, and determine what to do, but we're staying with the same numbers at this point.
Matthew Bouley: Okay, thanks, everyone.
Operator: And our next question is going to come from the line of Keith Hughes with Truist.
Keith Hughes: Thank you and questions on the LVT in Europe, I know growth there had lagged behind the U.S. in terms of share gain. And that started to now accelerate, and then also on your facility, I think you said you're running at seven days a week, are you kind of hitting an optimum level on that facility in terms of its productivity and costs?
Jim Brunk: So in Europe, the European market is significantly smaller for LVT than the United States. I think it's somewhere in the realm of about half the size of it. It's growing, but at a smaller rate, and it's not being accepted at the same level. Our business is increasing substantially in Europe. Our operations are running reasonably well. And we still think there are significant improvements to make and mix product innovation and efficiencies as we go through the year to enhance the margins further. We're expecting the productivity to allow us to continue to satisfy high increases. And we have probably five or six engineers over in the United States today transferring all the knowledge that they've been doing to get us up to theirs. With that there were also putting through price increases to cover both the significant material changes, as well as transportation cost rising. Is that and then just as a comment, the ocean freight from Asia is up dramatically, [as it’s] affecting all the costs.
Keith Hughes: Is the [U.S. LVT production], but how far behind [Technical Difficulty]?
Jim Brunk: It's probably at least six months to get it. It's probably more than six months, because what happens is, some of it takes equipment modifications and equipment modifications. Some of them take four months to five months to make. And we didn't want to put them in here until they were proven. On the other hand, there's a lot of immediate things that are going on now. Speeds are going up quality – the cost of the materials and pieces are getting better. So, we're going to see improvements significantly as we go through the year, but it'll probably be six to nine months before we get up to their level.
Keith Hughes: Okay, thank you.
Operator: And our next question is going to come from the line of Stephen Kim with Evercore ISI.
Stephen Kim: Yeah, thanks very much, guys. Congratulations to all. A couple of questions, related to your opening remarks, Jeff, you talked about, I believe you were seeing some substitution of LVT product with laminate on the back of your innovation that you've introduced in that category. I was wondering if you could elaborate on this a little bit more, what seemed to be a pretty positive trend for you, given your dominance and laminate? And then secondarily, I'm wondering if a shift to laminate, but say, you know, that actually gains momentum, if that would affect possibly your desire or interest or not to add additional LVT production sometime? I know you just talked about six to nine months, but you know, what would it take for you to add additional lines to your existing or to the rigid LVT production you're ramping up now?
Jeff Lorberbaum : Let's see. The first question is about laminate. So, laminate, historically, the laminate market was considered a low end market. Most of it was sold through the home centers. And we had a premium position with differentiated products and performance features. What's happened is that the premium part of the market that we're in, we have made it as an alternative that’s seen as a good alternative to both wood and LVT, and so the markets growing. At the same time, the markets expanded into other channels because of it, it's now being used in new construction. It's being accepted as an alternative to wood. It's being used in the retail remodeling business at a much higher level and it's still doing well and growing in the home center channels. So, all the parts are coming together.  And the same thing is happening in the European business with our unique position in the marketplace. With that, we have a new line coming in that will be operating in the end of this year, will add about another $125 million of capacity to the U.S. market. We are importing product from our operations around the world to supplement it until that comes in, as we go through. So the business is doing well, and we're expanding it. Further, the LVT business continues to do well. We are expanding our capacities by operating in plants well, and then at the same time, we're looking at various plans how to grow further and long-term.
Stephen Kim: Okay, so I take it. So, you're still looking into adding potential capacity there at some point? Great. Second question relates to incremental margins. I know that a lot’s changed in the business over the last few years, we had at one point in the past looked at incremental margins, I think Frank you had talked about incremental margin. So, I'm curious if there was any update to what we should be thinking about incremental margins across the various segments. And for instance, when we look at 1Q having, you know, a number of extra days, and we think about the extra sales that will come with that, would it be reasonable to apply those same incremental margins to that improvement in sales and volume?
Frank Boykin: So answering your first question on incremental margins, I mean, we've got so many moving parts right now, Steve with higher volumes, production, shorter runs, increasing raw materials and nagging cost, our pricing, you know, it's going to be hard to come up with anything that's meaningful, I think at this point in time. And I don’t know Jim, do you want to address the second half of the question?
Jim Brunk: Steve, why don’t you repeat the rest of your question again, [he's asking about]?
Stephen Kim: Effectively, a volume only, kind of incremental. You know, so in the case of, you know, extra days or something, right, you large – it's largely a volume issue for those extra days. And so, like what kind of incremental do you get, like when you – on just volume, forgetting the price mix and all that stuff?
Jim Brunk: You could probably use what we've done, what we've given you historically, Steve on that. 
Stephen Kim: Yeah, that's kind of a range of 20 to 30, as I remember on what talked about.
Jeff Lorberbaum: Yeah, depending on [indiscernible] you remember when Frank pointed out, it's a little bit of an unusual situation, because your actual cost is even, you know extra days. Your actual cost is running higher with the shorter runs. You know, the absenteeism that we're facing.
Stephen Kim: Sure.
Jeff Lorberbaum: That Jeff pointed out. So just be aware of that as you think about it. As you think about it. 
Stephen Kim: Okay. Yeah, that makes sense. Okay, thank you for that.
Operator: And our next question is going to come from the line of Sam Darkatsh with Raymond James.
Sam Darkatsh: Good morning, Jeff, Frank, Jim and Chris, and I'll reiterate congratulations to both of you Frank and Jim, on the announcements, well earned on both of your respects. Most of my questions have been asked and answered, just a couple of housekeeping items. You’re I think guiding, essentially for that similar $25 million a quarter savings from restructuring in early 2021, as you saw in late 2020. But I'm wondering why that doesn't ramp because of the FIFO inventory accounting as you finally cycled through your high cost inventory. Can you help us understand, help me understand why that restructuring savings wouldn't ramp from back half?
Jeff Lorberbaum: What you're going to see Sam is that once you reached kind of the anniversary date of the actions that taken place, you kind of laugh those costs, and the lower costs will now be part of your operation. So, we announced that in Q2, now, some of the actions will take longer in terms of the plant consolidations and such through the year, but that's why I'm saying that the largest part of the remaining savings should come in the first half of the year, as we anniversary the actions we took in 2020.
Sam Darkatsh: But you took 50 million, you got $50 million in savings in the back half and you're essentially guiding for 50 million to 60 million in the front half. So, where would the ramp be that you're referring to?
Jeff Lorberbaum: It did ramp. So, it ramped from Q2 to Q3 to Q4 and then Q1 and Q2 should be about the same pace as Q4, which is a [full impact].
Jim Brunk: I think there’s some confusion. He is talking about an additional 50 to get to the 110, not the same 50.
Sam Darkatsh: Correct.
Jeff Lorberbaum: That will take place over [indiscernible].
Jim Brunk: It is the next 50, not the same 50.
Sam Darkatsh: Okay. And then my final question if I could, in the first quarter guide, do you have significant benefit from the inventory rebuild baked in to the guide from the fixed costs absorption or does that rebuild occur more ratably across the – over the course of the year? I guess once some of the COVID constraints alleviate?
Jim Brunk: It’s in the first quarter numbers, but the build we're talking about is going to go throughout the year. It's not all going to happen in the first quarter.
Sam Darkatsh: Okay, thank you. Have a terrific weekend gentlemen.
Frank Boykin: Thanks.
Jeff Lorberbaum: Thank you.
Operator: Thank you. And that will conclude our Q&A portion of today's conference call. I'm now going to turn the conference over to Mr. Lorberbaum for closing comments.
Jeff Lorberbaum: Thank you for joining us today. The industry is in a good position. It appears the category should do well, and we think we're well-positioned to take advantage of it. We appreciate you taking time in joining us. Have a good day.
Operator: Once again, we'd like to thank you for participating in today's Mohawk Industries conference call. You may now disconnect.